Operator: Good afternoon. My name is Emma, and I will be your conference operator today. At this time, I would like to welcome everyone to the Clearwater Paper 4Q 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Sloan Bohlen, Investor Relations, you may begin your conference.
Sloan Bohlen: Thank you, Emma. Good afternoon, and thank you for joining Clearwater Paper’s fourth quarter 2021 earnings conference call. Joining me on the call today are Arsen Kitch, President and Chief Executive Officer; and Mike Murphy, Chief Financial Officer. Financial results for the fourth quarter of 2021 were released shortly after today’s market close, along with the filing of our 10-K. You will find a presentation of supplemental information, including a slide providing the company’s current outlook posted on the Investor Relations page of our website at clearwaterpaper.com. Additionally, we will be providing certain non-GAAP information in this afternoon’s discussion. A reconciliation of the non-GAAP information to comparable GAAP information is included in the press release and the supplemental information provided on our website. Please note Slide 2 of the supplemental information covering forward-looking statements. Rather than rereading this slide, we are going to incorporate it by reference into our prepared remarks. With that, let me turn the call over to Arsen.
Arsen Kitch: Good afternoon, and thank you for joining us today. Please turn to Slide 3. As you saw from our press release, our financial performance was at the high end of our expectations for the fourth quarter. On a consolidated basis, the company reported fourth quarter net sales or $490 million, adjusted net income of $9 million and adjusted EBITDA of $56 million. For the full year 2021, we delivered net sales of nearly $1.8 billion, adjusted net income of $17 million and adjusted EBITDA of $175 million. A few highlights to mention. Strong demand continued in our paperboard business. Based on the demand, we implemented previously announced price increases across our SBS portfolio. Demand in our tissue business stabilized with volume in the fourth quarter similar to the third quarter. We’re implementing previously announced price increases across our tissue business to recover some of the cost inflation that we’re experiencing. While pulp prices showed modest easing, we continue to experience inflation across most of our other input costs. We’re focused on operating and supply chain efficiencies along with price increases to help offset these headwinds. We received net proceeds of $13 million from the sale of our closed Neenah, Wisconsin tissue site and related assets. And finally, we maintained ample liquidity of $265 million at quarter end and reduced net debt by another $37 million in the quarter, which included proceeds from asset sales. For the year, we reduced our net debt by a total of $69 million. As noted previously, we remain focused on our top priorities during COVID, the health and safety of our people and operating our assets to service customers. We saw spike in cases and absences starting in December. The team did an outstanding job managing to keep our most critical assets running. But we did experience some downtime on our tissue converting lines. We implemented weekly COVID testing for all our people last year and secured a regular supply of test from a major manufacturer. Our goal is to identify COVID cases early and limit the risk of spread within our facilities. Regular testing, along with our other safety precautions has enabled us to mitigate risk and minimize business impact. One additional note before turning to our business performance. We updated our investor handout in November, which is located on our website with some refreshed information on Clearwater Paper in the industries in which we compete. There were several relevant industry announcements in late December, which I will speak to at the end of my prepared remarks. With that, let’s discuss some additional details about both of our businesses and their performance in the fourth quarter. Please turn to Slide 4 for a few comments on our paperboard business. The industry continues to experience strong backlogs, even with higher SBS pricing as reported by Fastmarkets RISI. Since the beginning of 2021, RISI reported price increases for the U.S. market that totaled $300 per ton in folding card and cup stock with $250 per ton occurring in 2021 and another $50 per ton in January of 2022. We’re continuing to see strong demand from both our folding carton and food service customers. As a reminder, it typically takes us a couple of quarters for price changes to be reflected in our financials. It is also worth noting that our portfolio includes additional grades and price mechanisms that are not reflected in RISI’s reporting. We will discuss the estimated impact of pricing later in our comments. We executed the head box installation project at our Lewiston, Idaho mill in January. This project was previously deferred due to strong demand. Our team did an excellent job in executing this outage under difficult COVID conditions. My thanks to our Lewiston team, our vendors and our contractors who completed the work safely, on time and on budget. On Slide 5, I want to highlight our track record of product innovation and sustainability in our paperboard business as we continue to focus on meeting the needs of the circular economy. First, we achieved a sustainable forestry initiative and for our stewardship counts of certifications for sustainably sourced fiber nearly a decade ago. In fact, we believe that we were the first North American paperboard company to dual certify our products with both SFI and FSC. These certifications helped to ensure the sustainability and integrity of our supply chain. We’re now focused on bringing sustainable products to the market to meet the needs of our customers. In the last couple of years, we launched NuVo cup stock and ReMagine folding carton brands both containing post-consumer recycled content that meets FDA compliance for direct food contact. In January of this year, we launched BioPBS coding on our cup stock. The coding can be used in hot cup applications as an alternative to low-density polyethylene, enabling the cup to become possible. When applied to our NuVo cup stock, which contains up to 35% post-consumer recycled fiber, we’re offering unique environmentally-friendly solution. We believe that innovations like these will help drive incremental domestic demand for SBS products due to their inherent sustainability benefits. For both businesses, we’re committed and focused on developing products for sustainable circular economy to meet the needs of our customers. Please turn to Slide 6 with some additional comments on our tissue business. The tissue market environment continues to be challenging. Let me describe our point of view. According to RISI, the size of the U.S. market was 10.6 million tons in 2020, with approximately 70% in the at home market. Using that math, the at-home market is approximately 7.6 million tons, of which approximately two-thirds is branded and one-third is private branded. We operate in a private-branded market, which is approximately 2.5 million tons and has grown more quickly than the branded market. In terms of the retailer environment, the two key trends have been industry consolidation and share gains by club and mass at the expense of the grocery channel. Today, only one of the top five retailers is a grocer and those top five retailers now make up nearly 70% of all private branded tissue demand. Supplier based on the other hand has been deconsolidating and adding capacity that exceeds demand growth. Due to this, we believe that private branded manufacturers will operate at depressed capacity utilization levels in the next several years. In terms of recent trends, based on our experience in Q4 and early 2022, demand patterns of our retail customers and consumers have stabilized. We shipped 12.4 million cases in the fourth quarter, slightly higher than the 12.3 million cases shipped in the third quarter, which was in line with our guidance for flat tissue volumes quarter-over-quarter. We continue to experience significant inflation in the fourth quarter. And as a result, we announced and began implementing tissue price increases in addition to other actions helping us to recoup some of the margin lost due to inflation. Based on previously announced price increases, we’re expecting low single-digit price impact across our retail business in 2022. We’re also working with our customers on product changes to reduce costs. With that, I’ll turn it over to Mike to discuss our fourth quarter results.
Mike Murphy: Thank you, Arsen. Please turn to Slide 7. The consolidated company summary income statement shows fourth quarter and full year comparisons for 2021 and 2020. In the fourth quarter of 2021, our net income was $9 million, diluted net income per share was $0.54 and adjusted net income per share was $0.82. The corresponding segment results are on Slide 8. Slide 9 is a year-over-year adjusted EBITDA compares from our Pulp and Paperboard business in the fourth quarter. We benefited from our previously announced price increases, favorable mix improvement and slightly higher sales volume. Our costs were impacted by higher inflation, particularly in energy, chemicals and freight. This resulted in adjusted EBITDA of $61.9 million, which represents a quarterly adjusted EBITDA record for our Paperboard division. You can review a comparison of our fourth quarter 2021 performance relative to third quarter on Slide 17 in the appendix. On Slide 10, we compare the full year 2021 performance to 2020 for Paperboard with adjusted EBITDA similar in 2021 relative to 2020. We implemented substantial price increases that were largely offset by significant cost inflation. That cost category had a $27 million impact associated with the planned major maintenance outages in 2021, whereas we had no major maintenance outages in 2020. Please turn to Slide 11, where we provide a year-over-year comparison for our tissue business in the fourth quarter. We implemented previously announced price increases in addition to realizing some mix benefits in the fourth quarter. Our pricing impact was significantly below inflation as we struggled to maintain our margins due in part to the supply and demand dynamics in tissue. Relative to last year, our sales and production volumes were significantly lower as the impact from COVID-driven buying lessens. As you’ll recall, in the second quarter, we announced the closure of our Neenah site, which helped mitigate both volume and cost pressures during that year and was the final step in realizing the operational and supply chain benefits from our Shelby investment. Additionally, we have been working to reduce our inventory by reducing production. We are now at our targeted inventory levels and expect to match production to demand in 2022. On Slide 12, we compare our year-over-year performance. Price and mix were small factors. Our sales and production sales volumes were down substantially in a business that has significant fixed cost leverage. Our cost inflation, which was significant was partially offset by the closure of our Neenah, Wisconsin facility. You can review a comparison of our fourth quarter 2021 performance relative to the third quarter on Slide 18 in the appendix. We also have other operational and financial data on a quarterly basis on Slide 19 for both businesses. Slide 13 outlines our capital structure. Our liquidity was $265 million at the end of the fourth quarter. Our free cash flow in the quarter was $37 million, bolstered by asset sales, including our Neenah, Wisconsin site of $13 million. The asset sale proceeds, which were realized in the fourth quarter largely offset our cash, closure and related costs associated with the Neenah site in the second and third quarters. Our full year free cash flow generation was $69 million. We utilized free cash flow to reduce our term loan balance to $50 million. Maintenance financial covenants do not present a material constraint on our financial flexibility, and we do not have near-term debt maturities. Our net debt to adjusted EBITDA at the end of 2021 was 3.4 times. We continue to make progress on our targeted net debt to adjusted EBITDA ratio of 2.5 times or around $500 million of net debt, which we expect to achieve both by 2023. Slide 14 provides a perspective on our first quarter 2022 outlook, the key drivers and some assumptions for the rest of 2022. Our expectations assume that we continue to operate our assets without significant COVID-related disruptions. We want to reiterate that inflation and other supply chain disruptions continue to be difficult to predict. Our current expectation for the first quarter is adjusted EBITDA of $48 million to $56 million. Let me walk you through the buildup to that range from our fourth quarter adjusted EBITDA of $56 million. Previously announced paperboard and tissue pricing are expected to possibly impact us during the quarter by $10 million to $14 million in total. Paperboard’s impact could be $9 million to $11 million, and tissues impact to be $1 million to $3 million. We had strong shipments in paperboard in the fourth quarter and expect to have lower shipments in the first quarter as we rebuild inventory. Tissue sales are expected to be flat quarter-over-quarter. Implemented price increases are largely being offset by inflation in fiber, chemicals and energy, which is expected to negatively impact us by $5 million to $7 million. We have $3 million to $4 million of planned major maintenance outages compared to no major maintenance outages in the fourth quarter. We continue to experience some supply chain difficulties and COVID-related absenteeism in the start of the quarter, impacting our cost structure. We wanted to comment on some of the key annual drivers for 2022 to provide you with a framework to think about our potential performance. If our previously announced paperboard and tissue prices remain at current levels throughout 2022, we would expect an annual pricing benefit of $120 million to $140 million in total, $110 million to $120 million in paperboard and $10 million to $20 million in tissue. We expect growth in converted tissue volume, but the benefits will largely be offset by higher supply chain costs. In 2022, we also have some larger tissue agreements up for renewal, which could create uncertainty, both in terms of price and volume. Cost inflation, including pulp, fiber, freight, chemicals and energy is expected to be $90 million to $100 million. We also expect some labor inflation, net of cost mitigation efforts, which could be approximately a $10 million headwind. In our Paperboard business, planned major maintenance outages are expected to have a similar financial impact as 2021. For the full year 2022, we’re also anticipating the following: interest expense between $33 million and $35 million, depreciation and amortization between $101 million and $104 million, capital expenditures of approximately $60 million to $70 million in line with our historical average excluding extraordinary projects and some projects that moved out of 2021 to 2022 due to some timing issues, and our effective tax rate is to be between 22% and 23% and we expect to be a cash taxpayer. We mentioned last quarter we expect to have additional major maintenance outages in 2023. And while our estimates are not complete and subject to change, we believe that those outages can impact our 2023 adjusted EBITDA by $35 million to $40 million or $10 million higher than in 2022. We have included these estimates on Slide 23. The primary driver for the outage is work that we need to do on a recovery boiler at Lewiston, Idaho mill. In addition to the operating expenses that we are likely to incur, the capital required for this work will likely exceed $30 million, with a majority of that occurring in 2023. We do not have an estimate for full year 2023 capital spending at this time, but we expect it to exceed our normalized expected spend of $60 million per year. Let me turn the call back over to Arsen.
Arsen Kitch: Thanks, Mike. First, I want to thank our people for their focus on safety and serving our customers throughout 2021 as well as a strong finish to the year. As Mike mentioned, the inflation that we saw in 2021 is expected to carry over into 2022, and we expect the tissue demand volatility will be greatly reduced. As we mentioned previously, we think that supply and demand drive near- to medium-term pricing and margins in both of our businesses. Our Paperboard business is benefiting from favorable market dynamics. In tissue, we have some success on announcing and implementing price increases in the fourth quarter, but the supply and demand dynamics remain challenging. We continue to work on efforts to improve our cost positions to offset margin compression, which is a recurring theme. I want to share some perspectives with you regarding some recent industry headlines as well as some larger contract renewals in tissue that could impact future performance. In December, the European company announced the acquisition of a U.S.-based printing and writing grade company and its intention to convert to paper machines to a primarily folding boxboard or FBB grade. The announced time line for the conversion of the first machine is in 2025 and the second machine is in 2029. The two machines are expected to have a combined capacity of over 1 million tons. Let me share some perspectives related to this announcement. RISI and other industry sources report the domestic consumption of SBS is 4.1 million tons with an additional 400,000 tons of FBB imports. Demand is expected to grow by 1% to 2% per year or 50,000 to 100,000 tons for a total of 400,000 to 800,000 tons by the end of the decade. A domestically-produced FBB would likely partially offset imported FBB due to the supply chain advantages. It is our belief that SBS continues to be a preferred product based on operational economics and end-use requirements. We also believe that in today’s market, demand exceeds supply. And the long-term case for paperboard products remains strong due to its inherent sustainability advantage. These conversions are complex, expensive and initial assumptions about project feasibility often change over time. So while we will continue to evaluate this situation as it unfolds, we do not believe that this changes our long-term positive outlook on the industry and our business. In tissue, we have some significant customer agreements up for renewal later in 2022. We’re focused on these renewals as well as pursue new opportunities to fill out our capacity. There are also two additional tissue capacity announcements that are expected to come online in 2024, with a total of over 100,000 tons targeting the at-home market. We continue to evaluate our tissue asset footprint to ensure that we are cost competitive. While there are several moving pieces in our industries, let me remind you why I think these businesses are well positioned in the long run. For our Paperboard division, we believe that the key strengths of this business are the following: first, we operate well-invested assets with a geographic footprint, enabling us to efficiently service our customers. We have a diverse customer base, which serves end markets that have largely stable demand; second, not being vertically integrated enables us to focus on independent customers with unparalleled service and quality commitment; third, we believe through product and brand development, the business is well positioned to take advantage of trends towards more sustainable packaging and food service products; lastly, our Paperboard business has demonstrated an ability to generate good margins and solid cash flows. Our Consumer Products division is a leader within the growing private branded tissue market. From our vantage point, we believe the key strengths of this business are the following: first, we have a national footprint with an ability to supply a wide range of product categories and quality tiers, which is an attractive sales proposition to our customers. Our expertise in manufacturing, supply chain and transportation is a key differentiator. Second, there are long-term trends away from branded products to private brands. Private branded tissue share in the U.S. rose to over 30% recently, up from 18% in 2011. While these trends are impressive, we’re still a long way from where many European countries are in which private brands represent over half of total tissue share. Lastly, tissue is an economically resilient and an essential need-based product. Historically, demand has not been negatively impacted by economic uncertainty. We’re optimistic that this business will generate meaningful cash flows over the long run. We’re entering 2022 as a better and stronger operation than where we started in 2021. In addition to appropriately sustaining our asset base, our capital allocation plan is focused on paying down debt and improving our cost structure and operating performance. We continue to work with our Board on a range of value-creating capital allocation options. We expect to share our long-term strategic capital allocation priorities when we approach our target debt levels later this year. In closing, I would like to thank our people for all that they do to keep our operations running safely and efficiently and for servicing our customers. I also want to thank our shareholders for their continued support and our customers for choosing us. With that, we will end our prepared remarks and take your questions.
Operator: Thank you. Your first question today comes from the line of Mark Wilde with BMO Capital Markets. Your line is now open.
Mark Wilde: Thanks. Good evening, Arsen. Good evening, Mike.
Arsen Kitch: Good evening.
Mark Wilde: Start off, Arsen. Any way to help us think about the impact of that 2022 shift mix in the bleached board business?
Arsen Kitch: So Mark, on the shift mix, just clarify the question for us.
Mark Wilde: Well, you’re talking about basically volume moving from kind of folding carton back to food service and that was – when I went the other way during COVID, that was a benefit, and now it looks like it’s going back towards foodservice. So what’s the impact of that on a year-over-year basis for you in your view?
Arsen Kitch: Mark, what we’ve seen is some strength within the food service category from a pricing standpoint. So it’s probably going to be a less pronounced negative impact this year as it was a positive impact back in 2020.
Mark Wilde: Okay. All right. And is it possible for you to talk at all about sort of just a general – in general terms about the strategy to counter this European boxboard producer. I mean, it does seem to me that they are aiming at that same merchant piece of the SBS market that you focus on, a lot of the independent carton converters. So it seems like you’re coming straight at your wheelhouse. I’m just curious about how you counter that or how you think about countering that?
Arsen Kitch: Mark, I think there’s a couple of ways to look at it. I think the first thing worth mentioning, this is a big, expensive, risky conversion, right? So over the next eight, nine years. So as you know, these conversions can be pretty unpredictable. So let’s start there. I think the second piece, I think, more broadly speaking, in today’s market, demand is outstripping supply. And we think there’s healthy growth ahead of us in SBS and ahead of the market. And we think the FBB nature of these conversions will really target the imports first. So if you take all those factors you combine all those factors, we still maintain a bullish positive outlook on our Paperboard business. And while we’re going to monitor it, it’s – frankly, we’re not losing sleep over it.
Mark Wilde: Yes. Okay. All right. That’s fair enough. And then final question for me, Arsen. Is it possible to get any sense of kind of the activity levels that you’ve seen in January and through the 1st of February on both sides of the business?
Arsen Kitch: I think we continue to see strong demand in paperboard. I think demand is still outstripping supply. We’re still having to turn away customers. We’re focused on servicing our long-term customers and trying our best to provide them with paperboard. On the tissue side, I think we’ve seen similar trends as we saw in Q4. So January was a reasonable month, and I think it speaks to the normalization that’s taking place in tissue.
Mike Murphy: So Mark, to quantify, we shipped 4.1 million cases in January for tissue, which is kind of right in line with what we were doing in the fourth quarter. On paperboard, things are a little bit murkier. We actually had a really strong shipment month in December as some of our customers wanted to get in before – one of our price increases kicked in on some contracts on January 1. We managed to fund the freight. And also in January, Arsen mentioned in his comments that we had an outage. So we’ll see a pullback a little bit in our first quarter paperboard numbers because of those two phenomenons, a strong shipment month in December and an outage in January.
Mark Wilde: Okay. All right. I will turn it over. Thanks, Mike.
Mike Murphy: Thanks, Mark.
Operator: Your next question comes from the line of Adam Josephson with KeyBanc. Your line is now open.
Adam Josephson: Arsen, Mike, good afternoon. I hope you well.
Mike Murphy: Hi, Adam.
Adam Josephson: Arsen, just on your tissue, your private label tissue comment, I mean, you commented extensively about the challenging supply-demand conditions, about the likelihood that producers will operate at depressed levels for years to come. Obviously, some of your competitors have echoed those statements in recent weeks. So it’s clear that the industry is in need of some consolidation, and we’ve been waiting for it and nothing has transpired as yet. What do you think is necessary? And you have these large contract renewals coming up, which you said could cause some bumps in the next year or two. I mean, what do you think – what can you do in light of the supply demand challenges that you and your peers will be facing for some time, such that you can earn adequate returns in this business?
Arsen Kitch: Yes. Thanks, Adam. So let me maybe reiterate a couple of a few points here. So there’s now a small number of customers that dominate the tissue market. If you look at the top four, five customers now represent something like approaching 70% of all private-branded tissue purchases. And the suppliers have deconsolidated and are adding capacity at rates that exceed demand growth. And as you mentioned, that’s not a long-term sustainable position to be in. Just to speak bluntly, we do think consolidation is needed to improve scale and improve the cost positions of the industry. And frankly, we’re a willing participant, and we’ll look at for opportunities where they make sense for us. Now to your question, what would need to happen? I suppose we would need to have willing buyers and willing sellers for that to happen.
Adam Josephson: Yes. No, understood, Arsen. In terms of your price mix – well, first of all, your full year guidance, should we assume that you gave us the big buckets of inflation and price mix volume. Sounds like their puts and takes but relatively stable. Are there any – so I assume the maintenance is going to be flattish year-on-year in 2022. Anything else that you would point me to other than the three buckets that you highlighted bearing in mind that maintenance will be flat?
Mike Murphy: I think those are the key drivers, Adam. And the cautionary statement is it’s very hard to make predictions in this environment, and we certainly saw that in 2021, and we’ll look forward to updating you guys with our best estimates as the year progresses.
Arsen Kitch: Yes. Adam, I think what we saw here in late Q4 and early Q1 is supply chain disruptions, COVID absenteeism, some of our mills approaching 10%. So we ran into some issues and challenges that weren’t expecting at the end of Q4 and early Q1. Don’t know where this year leads, as to Mike’s point, it’s really around those supply chain challenges that we need to be facing, which could translate into higher cost.
Adam Josephson: Yes. You mean above and beyond what the inflation range that you’re talking about?
Arsen Kitch: Sure. And at the same time, we’re also focused on offsetting those right with supply chain efficiency initiatives and productivity. So we’re doing what we can on our end to offset those. But some of these can be quite overwhelming in nature.
Adam Josephson: No, I hear. And one on the inflation, Arsen, can you help us with what you’re assuming in terms of your raw material, freight and energy costs? Are you basically just taking current prices across the board and flatlining number. Walk us through whatever your assumptions might be along those lines, if you don’t mind.
Mike Murphy: Sure, Adam. We’ll look at the same things that you look at across the spectrum, so to get an estimate on fiber, pulp, chemicals, energy, we’re looking at third-party publications and trying to look at their forward curves and make a prediction based off of that. Therefore, curves are probably better than our own internal judgments in many cases. But that’s our best assumptions that we have today as we sit here and talk to you this afternoon.
Arsen Kitch: And I think as Mike mentioned, some of these can be a little uncertain in nature. If you look at pulp a few months ago, I think we were predicting and the industry was predicting pulp prices to fall here later in 2022. And the forecasts are still showing an easing in pulp prices, but we’ve also seen some fairly significant price announcements by the pulp suppliers here recently. So while we don’t – frankly, we don’t think they’re supported in the long run, it kind of remains unclear where something major like pulp goes in 2022.
Adam Josephson: Right. All right. Just to – you’re not assuming any major changes from current levels. Is that a reasonable assumption?
Mike Murphy: You know…
Adam Josephson: Is that – yes.
Mike Murphy: Yes. I think, Adam, largely, the pulp curve is somewhat flat for this year. And I’ll remind you of two things. One, it takes about a quarter for pulp prices to make their way through our financial statements. And two, we start off 2021 really at a much lower pulp price level. So we are seeing inflation in pulp due to those phenomena. But I don’t think there are material out buyers of fiber, I’m assuming you’ve heard from others, is going to be up year-over-year. We’re experiencing that as well. But I don’t think there’s a statistical difference between what we’re seeing today versus our forward estimates on fiber.
Adam Josephson: That’s perfect, Mike. And just one last one on your price mix assumption in paperboard. So – did you have – of the $73 million of price mix, Mike, that you had in that segment for the year, was $55 million of that price thereabouts?
Mike Murphy: It’s a little bit higher than that, Adam. So there’s – mix is one component. We also have pulp pricing that shows up there. We show a little bit of market-based pulp. I think a fair number would be about $60 million for paperboard price increase for volume.
Adam Josephson: Right – got it. So you had $60 million and then you’re expecting another, call it, $115 million at the midpoint this year such that the cumulative pricing would be about $175 million. If I take the $300 million multiply by year capacity, that rough math is $240 million, but obviously, you’ve talked about the fact that only about 1/4 of your paperboard business is tied to the index and their 6-month lags. Are those the two kind of call-outs that you would make in terms of the deviation from that theoretical $240 million or so?
Mike Murphy: That’s exactly right. So Adam, you’ve nailed it.
Adam Josephson: Thanks so much, Mike.
Mike Murphy: Thanks.
Operator: Your next question comes from the line of Paul Quinn with RBC Capital Markets. Your line is now open.
Paul Quinn: Yes. Thanks very much. Afternoon, guys.
Arsen Kitch: Hey, Paul.
Mike Murphy: Good afternoon.
Paul Quinn: Hey, yes, you mentioned the material like contract in the tissue side that are up for renewal. How material are they? Like what percentage of your total volume is in these contracts approved renewal?
Arsen Kitch: Yes, I’m going to – Paul, I’ll use round numbers. In most years, we aim for about 1/4 of our business to be up for renewals. This will be approaching 50% of our business, just to give you an approximation. So it’s – we typically go through these renewals every year. This year, we just have more of them than normal just due to the nature of some of the agreements that are expiring.
Paul Quinn: Okay. And then just on the major maintenance that you expect in 2023, and it sounds like the Lewiston recovery boiler, we are – I guess, I would expect that you are hoping for a reprieve on major maintenance there. What is going on with the recovery boiler?
Mike Murphy: So Paul, at our last major maintenance outage in Lewiston, we discovered that we have some screening tubes that are nearing their end of their useful life. And so this is a major product – a project to replace a significant amount of screen tubes there in the recovery boiler. And so the capital component is that the screen tubes and some other components – the downtime component, we’re going to have to take the pulping operations down for an extended period of time. So we’re going to have to pay more for pulp to feed into the paper machines.
Paul Quinn: Right. So will 2023 get this done? Or is there going to be more to come in 2024 or we expect it to have a break in 2024 then?
Mike Murphy: So Paul, I think we’re going to be in a better position to respond to that question once we get through the outage in 2023. The intent of the outage is to fix or address the end of useful life of these tubes. So hopefully, that answers your question.
Paul Quinn: Okay. And then just back to the tissue business, I mean, I know this business has been struggling for a while now. Just sounded like you’re partially successful in price increases. What are the major implements to get these price increases through it? Not like anybody in the industry on the private label, so as doing gangbusters here. So what’s the issue?
Arsen Kitch: I think when it comes down to it, supply and demand drives pricing. So these are negotiations that take place. And so frankly, we got to a – to cost inflation where it just wasn’t feasible not to be able to take pricing to offset some of that cost inflation. But at the end of the day, Paul, it’s that supply and demand that drives it and the customers have an option to, frankly, go bid their business and look for alternative suppliers. So it’s a negotiation at the end of the day.
Paul Quinn: All right. Let’s go ahead. Thanks, guys.
Arsen Kitch: Thanks, Paul.
Operator: Your next question comes again from the line of Adam Josephson with KeyBanc. Your line is open.
Adam Josephson: Arsen and Mike, thanks very much for taking my follow-up. Just a couple of them. Arsen, just on your SBS demand commentary, the expectation of call it, 1% to 2% growth or thereabouts. When I look at your November slide deck, one can see that production has actually been in decline for the past decade in the SBS market. So to the extent, we’re talking about apples and apples, why would you take the market to go from contraction to pretty steady expansion?
Mike Murphy: So Adam, it’s Mike. Maybe I’ll lead off. So there’s a domestic component to the market, and there’s the exporter – net export and total component to the market. So the comments that we had made – almost three quarters of that production is oriented to the domestic market. And what we’ve seen over time is the domestic market has grown at that 1% to 2% rate. The decline that you’re referencing in terms of total production here in the U.S. was really a function of a decline going into the export market. So that’s the historical trends. Going forward, unclear what’s going to happen in the export market. We’re very focused on the domestic market, and we’re focused on those demand drivers there. And as Arsen had connected the dots with the announcement of the conversion of the mill, we think there’s a decent amount of domestic growth that will accommodate at least some of that volume that’s projected to come online. And so in any event, I hope that we’re answering your question there.
Adam Josephson: No, I appreciate it. I can see that exports have come down from, I think, $1.8 million to $1.1 million. So I hear you loud and clear on that. The tissue – and also on growth expectations, you’re talking about 1% to 2%-ish in tissue, slightly greater than population. I mean, the U.S. population was flat last year in the year ended June for the first time in a very long time. So one would think that would be having an impact on tissue demand growth to the extent that tissue demand is driven by population much more so than anything else. Would you have any reason to think otherwise? If population remains flat, is there a good reason to think that tissue demand would grow over the next few years?
Arsen Kitch: I think two ways to look at it. I think what we’ve said is that tends to just slightly outpace whatever population growth is. I think the more important number is the private branded share gains in tissue. So that private brand of growth has outpaced overall growth. And if you look at private-branded share, last year, it hit 33%. And it’s up versus – let me just grab the numbers here, from less than 32% in 2019. So we picked up – private brands have picked up 0.5 of share roughly since 2019. So the trend of about a 1 point of share pickup continues. So we think that’s what’s going to drive our space, but you’re right, Adam. I mean, population growth stays at 0, potentially that overall demand growth may be less than 1% to 2%.
Adam Josephson: Yes. No, I understand, Arsen. So one last thing I want to ask you about was you mentioned club and mass versus grocery. And I’m just wondering how that factor is playing into these contract renewals. I know you’re much more heavily weighted toward grocery, which has been losing share to club and mass. Can you just talk about that dynamic in the context of these contract renewals that you said there could be some challenges in the next couple of years as a result of them.
Arsen Kitch: Yes. If you look at what’s happened with grocers. So the first trend is, yes, they’ve lost share to club and mass. The second piece, there’s been a tremendous amount of consolidation over the last 10 years in groceries. So if you look at the more sizable grocery players, there’s a small handful of players that can drive the category and drive our business. So those are still critically important customers to us, and we’re very much committed to working with them and growing their categories and helping them gain share. At the same time, as we’ve mentioned before, we’re focused on growing in club and mass, in dollar, and we’ve made a lot of progress over the years in growing our share in that space. But to your point, we’re still overweighting in grocery. So we’re still very much committed to winning with our grocery retailers.
Adam Josephson: I appreciate that. And just one last one, Mike, on cash flow. Do you expect any major – are there any major cash flow items that we ought to be aware of aside from CapEx? Any big working capital swings you’re expecting cash taxes, anything that we ought to be aware of that might deviate from 2021?
Mike Murphy: Yes. We’re a bigger cash taxpayer this year. We do have a refund. You can see that in current assets. We have probably an offsetting liability almost dollar for dollar with the repayment of the payroll tax associated with carriers. And so those two will offset and then we’re going to be a cash taxpayer on our income. So that would be the big difference year-over-year.
Adam Josephson: Thanks a lot, Mike.
Operator: Your next question comes from the line of Mark Wilde with BMO Capital Markets. Your line is now open.
Mark Wilde: Thanks. Arsen, I just want to come back for a minute or two to structure in the tissue business. Does the private sort of ownership nature of so much of your competition in private label. Is that an obstacle in your view to seeing some consolidation? Family-owned companies willing to kind of take the pain for a longer period than public companies perhaps?
Arsen Kitch: I think it’s a variable. Certainly, we answer to shareholders and we have public company returns that we have to deliver in the long haul. If you’re a family-owned company, that may lead to different dynamics and different objectives in the long run. So yes, that could certainly be a factor mark.
Mark Wilde: Okay. And then just one other one. I mean, it does look to me in the last couple of months that we may be starting to see some no mass moments for some of the smaller players in this market. You’ve got one producer that basically has sort of shutdown the fiber island that supplied its main tissue operations. So it’s hard to imagine that there’s not more change coming there. What is your kind of strategy as this kind of stuff happens? Do you just sort of stay untack with optimizing existing operations and getting down the debt? Or how could you or could you not participate in this?
Arsen Kitch: I think it’s a twofold approach. I think the first one is the one you just mentioned is we have to be cost efficient and we have to be highly competitive in our market. So that’s the first priority. The second priority is really looking at ways, which we could participate in the consolidation, where it makes sense, both from a value perspective and strategically for us. And that’s a very important component for Mike and myself as we think through these potential opportunities. It has to make sense for our network, it has to improve our cost structure, and it has to drive value for our shareholders.
Mark Wilde: Okay. Fair enough. Good luck.
Operator: There are no further questions at this time. This concludes today’s conference call. Thank you for attending. You may now disconnect.